Operator: Good day, ladies and gentlemen, and welcome to the SunPower Corporation First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, we will host a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call may be recorded for replay purposes. It is now my pleasure to hand the conference over to Bob Okunski, Vice President of Investor Relations at SunPower Corporation. Sir you may begin.
Bob Okunski: Thank you, Brian. I’d like to welcome everyone to our first quarter 2019 earnings conference call. On the call today, we will start off with an operational and strategic review from Tom Werner, our CEO; followed by Manu Sial, our CFO, who will review our first quarter 2019 financial results before turning the call back to Tom for guidance. As a reminder, a replay of this call will be available later today on the Investor Relations page of our website. During today's call, we will make forward-looking statements that are subject to various risks and uncertainties that are described in the Safe Harbor slide of today's presentation, today's press release, our 2018 10-K and our Quarterly Reports on Form 10-Q. Please see those documents for additional information regarding those factors that may affect these forward-looking statements. To enhance this call, we have also posted a set of PowerPoint slides, which we will reference during the call on the Events & Presentations page of our Investor Relations website. In the same location we have posted a supplemental data sheet detailing some of our other historical metrics. With that, I'd like to turn the call over to Tom Werner, CEO of SunPower. Tom?
Tom Werner: Thanks, Bob and thank you for joining us. On this call we will provide an overview of our first quarter 2019 performance as well as provide an update on various strategic initiatives that we feel will improve our competitive position and margin profile for the year. I'd now like to discuss our Q1 performance in greater detail. Please turn to slide 3. We executed well in Q1, meeting or exceeding our financial targets for the quarter including our adjusted EBITDA forecast. We beat our revenue and megawatt forecast in our upstream SunPower Technology or SPT business and saw strong demand in our global DG business with particular traction in Europe and Australia. I'll provide additional color on each business unit shortly. We also continued to lower operating expenses while further improving our balance sheet through the monetization of our C&I sale-leaseback portfolio, proceeds of which we will receive in the second quarter. Now let me discuss our segment performance in greater detail. First an overview of SunPower Energy Services, our North American DG business. Please turn to slide 4. SPES executed well in the quarter despite the impact of weather and installation delays in certain key markets, which limited megawatt volume. However, we were able to offset this impact due to the prudent management of expenses, improved operational efficiency and a stable pricing environment. The mix of cash and lease was in line with forecast while our loan product continued to gain traction with megawatt volume tripling year-over-year. We added to our new homes backlog, which is now more than 35,000 homes. Important milestone in Q1 was the introduction of our A-Series panels using our new NGT or Maxeon Gen 5 technology. These new products are the industry's first 415-watt rated residential panels and initial customer reaction has been extremely positive. Our ongoing investments in digital are also yielding measurable benefits. We recently previewed a revolutionary instant design software that improves the customer experience while significantly reducing system design time and lowering cost. Finally, we continue to make significant progress on our Equinox residential storage product and remain on plan to launch this offering in the second half of this year. In C&I, we maintained our number one share position with strong momentum in both our direct and CVAR businesses. 2019 remains greater than 80% booked and our pipeline exceeds $3 billion. Forecast this business turning profitable in the third quarter. Our Helix storage solution is selling well as we have now booked 38-megawatt hours of storage projects with high attach rates in California and Hawaii. Our Helix storage pipeline now exceeds 110 megawatts as well. Finally, we launched our P-19 commercial panel in the U.S. market, manufactured in our Oregon facility. As we have discussed in the past we are committed to innovation across the value chain. This includes developing a digital platform to improve the customer experience and reduce installed systems cost. I'd now like to spend a few minutes highlighting an example of how -- of our software innovation called SunPower Instant Design, a new technology we are deploying first in the residential market. Please turn to slide 5. In the retrofit market, we see that homeowners want an optimized design for their home and energy needs. That designing the residential system can be complicated and time-consuming, but every roof is unique. SunPower creates over 100,000 residential solar designs per year to serve this market.  With SunPower Instant Design, we built software to create optimized systems quickly and efficiency -- efficiently using machine learning. It does this automatically in seconds using algorithms trained on our existing design library. The algorithm learns with every new system design continuously improving accuracy. The key advantage of this technology is that we are reducing design turnaround time from 30 minutes to less than 60 seconds giving immediate feedback to the customer on optimum system configuration and a location and performance. Homeowners can modify designs online, adding in or subtracting panels while evaluating the impact on energy and build savings. We recently debut the technology at the Google Cloud Next conference in April. We're going to launch our first online experience featuring Instant Design this summer. We believe that SunPower Instant Design and our expanding digital platform will improve performance, reduce overall system cost and streamline solar system delivery. This creates a foundation for further lowering of customer acquisition costs, while still providing customers the flexibility to design a system that's optimized for their home. I'd now like to spend a few minutes providing some additional color on our Safe Harbor program. Please turn to slide 6. As we mentioned in our Capital Markets Day last month, we see a significant opportunity to capitalize on the Safe Harbor provisions. We planned the Safe Harbor modules for both our residential lease business as well as our commercial direct business. Between our two SPES businesses, we expect the Safe Harbor modules sufficient to preserve the 30% ITC or approximately 400 megawatts of business in 2020 and beyond. We believe that SunPower has a distinct advantage in this case due to our vertically integrated business model. This gives us supply chain certainty and predictable cost on proven technology that has the highest quality in the industry and the benefit of exclusion from Section 201 tariffs. For example, under the panel types, we will be safe harboring will be our Maxeon A-Series panel. With an industry-leading power rating of 415 watts, we are confident that the technology will be competitive a few years from now and will enable us to provide our customers with industry-leading performance, while maximizing margins for the company. Also we are currently in substantive discussions with a number of potential financiers for programs that will require minimal use of SunPower capital. We see significant appetite for such investment expect to begin executing financings in the second half of 2019. Now let me discuss our SunPower Technologies business in greater detail. Please turn to slide 7. Our manufacturing team executed well again in Q1 exceeding our shipment guidance and meeting cost and yield targets for the quarter with full fab utilization. Our next-generation Maxeon 5 technology hitting performance goals with solar cell production efficiencies of 25%, and initial installation of tools underwriting for our second line. When line 2 is complete at the end of the year, our Maxeon 5 main plate capacity will be 250 megawatts. Finding sources for further expansion are on track for commitments this summer. Production of our P-Series technology is also going well with our DZS joint venture at 2 gigawatts of capacity in our factory in Oregon now in volume production. Our SPT international sales channels posted strong performance as well. We have retooled our product offering to focus on the DG market. We are now seeing the benefits with DG sales volume, ASPs and margins coming in above plan driven by particularly strong demand in Europe and Australia. DG shipments accounted for close to 60% of our overall volume for the quarter. We also continued to expand our power plant shipment during Q1 with a backlog for the balance of 2019 that exceeds 530 megawatts. Now let me highlight our Q1 SPT international DG market performance. Please turn to slide 8. Europe remains a strong market for us. We have doubled our share there since 2015 with particular strength in Italy, France and Benelux countries. We are seeing very strong demand for our recently launched 400-watt Maxeon panel in Europe and continued demand growth for our P-Series product line including two recently introduced residential-format panels. We also saw strong demand in our Asia Pacific DG markets. Australia was above plan in Q1 as we capitalize on our new residential P-Series product. Japan exceeded its Q1 forecast driven by demand for both Maxeon and P-19 panels. We are seeing rapid demand growth across a number of new South East Asian markets primarily driven by success with our P-19 product in commercial applications. In power plant, we shipped more than 190 megawatts during the quarter between our Maxeon and P-Series products. Given the strong market reactions to our new product portfolio, we are investing to expand our sales footprint across a number of new DG markets and expect to more than triple our Asia Pacific and rest of world shipment volume in 2019. Before turning the call over to Manu for the financials, I would like to provide some comments on our confidence in achieving our 2019 financial forecasts. Please turn to slide 9 while I highlight the key drivers to reach our 2019 adjusted EBITDA target. First volume and scale as I highlighted previously, we are continuing to ramp our NGT and P-Series technology both of which will benefit from cost reduction and volume ramps. We also expect a benefit from our flexible model as we have the ability to adjust our fab's and Modco's output related to our safe harbor program. Finally, we expect to maintain our pricing premium with this cost decline, which will drive gross margin improvement in the second half of the year. We expect the increased volume and scale to account for close to 50% for our second half EBITDA performance. Second technology. On the manufacturing side increased volumes of NGT lowers cost per watt and provides material margin expansion. We also benefit from the continued rollout of our Helix storage platform. The storage remains highly accretive. As I just discussed, we're just beginning to benefit from our digital initiatives such as Instant Design. These initiatives will lower customer acquisition cost improve our lead generation capabilities, drive better operational efficiency. We see these investments driving in more than 20% improvement in our EBITDA performance in the second half of the year. Third cost initiatives. These include our supply chain initiatives for both SPT in our commercial business in North America as well as the continued prudent management and optimization of our operating expenses. Additionally, we expect to lower our cost of capital through our previously mentioned commercial industrial facility with Goldman Sachs, while improving our residential lease margins. We see our cost and finance initiatives accounting for more than 30% of our EBITDA gains in Q3 and Q4. With that, I would like to turn the call over to Manu to review the financials. Manu?
Manu Sial: Thanks, Tom. Now let me ready the financials. Please turn to slide 10. We look deep with our results as we met our key financial commitments including our adjusted EBITDA forecast. Overall, our non-GAAP revenue was above our commitment as we benefited from increased international DG demand and overall strong execution. In SPES revenue was down sequentially, due to seasonality in both our residential and commercial businesses, where we saw our demand profile improve significantly, starting the last month of Q1 with this positive trend continuing into the second quarter. For SPT, we shipped 455 megawatts during the quarter as both our DG and power plant businesses came in ahead of plan. Our consolidated non-GAAP gross margin was 6% slightly ahead of our forecast. In SPES ready gross margin declined moderately due to severe weather in key markets so we were able to partially offset the impact as pricing remained stable for the quarter. Commercial margins were lower versus last quarter, primarily due to mix in the second half dated backlog. We expect commercial margins to improve as we go through 2019 given our strong backlog and improving cost structures. In SPT, gross margin was breakeven and in line with our commitments though our SPT gross margins were impacted by P-Series, Oregon and NGT-related ramp expenses during the quarter. Non-GAAP OpEx is $68 million for the quarter essentially in line with Q4, and we continue to see 2019 OpEx of less than $270 million. CapEx for the quarter was $7 million, as we managed the supply chain related to our NGT ramp at Fab 3 and started the install of our second line in Malaysia. Adjusted EBITDA was a negative $24 million also in line with our forecast. As Tom mentioned, we see adjusted EBITDA improving on a quarterly basis as we go through the year given a strong revenue visibility, technology roadmaps and cost initiatives. I'd now like to discuss a few financial highlights for the quarter. Please turn to slide 11. As previously mentioned, we met our key financial commitments for the quarter including our adjusted EBITDA while exceeding our shipment guidance. We also continued to streamline our balance sheet during the quarter with a monetization of our commercial sale leaseback portfolio for more than $87 million. Given the timing of the transaction at the end of the quarter, the significant majority of the proceeds will be reflected on our Q2 balance sheet. If you add these proceeds to our Q1 2019 balance sheet on a pro forma basis, we would have ended the quarter with more than $250 million in cash. Additionally, given our balance sheet initiatives and expected improvements in our operating performance, we remain confident in our ability to retire our 2021 convert debt maturity. We also put in place a number of strategic DG financing initiatives that we believe will improve margins, minimize working capital, and significantly improve return in capital employed for SPES. For example, we are partnering with Goldman Sachs Renewable Power with a program for sales at notice to proceed for certain C&I projects that improves near-term cash flow while minimizing construction risks. Also we will be shortly finalizing our new capital-light referential lease fund that will enable a forward flow model and improve lease economics. In conclusion, we remain on track for our 2019 plan and feel very confident in our ability to meet our long-term model structure that we detailed in our Capital Markets Day last month. In the near term, our focus remains unchanged. Continued investment in our higher margin high-growth initiative, including the further ramp of our NGT Maxeon 5 technology as well as our new SPT DG product offering, our digital strategy to lower costs and improve efficiency as well as the continued build-out of our SPS storage and service offerings. Also, we expect a strong second half performance to be driven by our significant revenue visibility and current backlog position in our business. This revenue certainty along with the execution on our technology road map and our continued discipline expense management initiative will enable their business units to achieve positive cash flow generation in second half 2019. With that, I will turn the call back to Tom for our guidance. Tom?
Tom Werner: Thanks, Manu. For 2019, we expect financial performance to improve on a quarterly basis throughout the fiscal year with performance weighted towards the second half of the year given our commercial bookings, SPT backlog as well as improving seasonal patterns in our residential business. I would now like to discuss our guidance for the second quarter in fiscal year 2019. Please turn to slides 12 and 13. The company's second quarter 2019 guidance is as follows. On a GAAP basis revenue of $370 million to $410 million, gross margin of 0% to 3% and income of $0 million to $20 million. On a non-GAAP basis, the company expects revenue of $420 million to $460 million, gross margin of 7% to 10%, adjusted EBITDA of minus $5 million to plus $15 million and megawatts deployed in a range of 550 to 600 megawatts. The company's fiscal year 2019 GAAP and non-GAAP guidance is as follows: revenue of $1.8 billion to $1.9 billion on a GAAP basis and $1.9 billion to $2 billion on a non-GAAP basis. Megawatts deployed is expected to be in a range of 1.9 to 2.1 gigawatts, excluding approximately 200 megawatts for the company's safe harbor program non-GAAP operational expenses of less than $270 million and capital expenditures of approximately $65 million. Finally, the company is raising its fiscal year 2019 adjusted EBITDA to be in the range of $90 million to $110 million. In summary, Q1 was a solid quarter for the company as we executed on our strategic initiatives and positioned the company for strong and profitable second half performance. With that, I would like to turn the call over for questions.
Operator: Thank you, sir. [Operator Instructions] And our first question will come from Michael Weinstein with Credit Suisse. Your line is now open.
Michael Weinstein: Hi, guys. So yes, thank you for the higher guidance for 2019 on EBITDA. With regard to the residential business prior shipment guidance said -- possibly implied that the business is growing slower than the 15% growth that you expect for the whole market. And I'm just wondering if you can clarify what was driving that or what the error is in that thinking -- that line of thinking?
Tom Werner: So, Michael this is Tom. The number that we delivered in Q1 wasn't influenced significantly by weather and particularly us because we have a greater percentage of California business than I think most of our peers as a percentage of our residential business. And that's because of the lease approach that we've taken and also because of new homes. Most of our 35,000 new homes almost all of them are in California. Having said that, as we looked forward, we're quite confident in the growth number that's consistent with your comment. Of course, we're two months into the quarter. So it's -- that's based on how the quarter's going on. And it's also based on the fact that we have new lease structures that allow us to enter some states that we weren't in previously and importantly more aggressively than we were previously. So a combination of improved weather in California where we're quite strong and new lease and of course actuals that we've had quarter-to-date we're quite confident in our growth in Q2 and beyond.
Michael Weinstein: Great. And one other question on battery storage. Maybe you could talk about the mix of battery storage that you're seeing attachment rates residential versus commercial in the quarter, where you see the trends are going. And then also who are the battery suppliers out there? When do you expect suppliers to change as you go forward into the future?
Tom Werner: So, in terms of mix, it's important to note that SunPower is number 1 in commercial. And commercial systems are bigger and have more storage opportunities. So we first rate our software by interfaces that -- this demand charge elimination for the C&I business. And we first offered vertical and integrated offering in commercial. And as I mentioned in my prepared remarks, we have 38-megawatt hours to deliver in. And in fact, I would add to that, we're confident that, we will exceed our internal plans this year. So, the attach rates are certainly north of 30%. And I think improving maybe directionally towards 50%. In the residential business, what we're doing is, we're taking the experience from Helix storage. And we're doing something similar. And as you know on our -- a complete offering in residential is called Equinox. And we'll offer Equinox storage. We're just starting alpha of that product. And we'll be shipping this fall. In terms of attach rates, we're in the single-digits between 5% and 10%. We expect that to increase dramatically as we raise our own offering. And I think it's important to note that, that offering will be similar to other parts of Equinox. It is offered by SunPower. So you have one-stop shopping. If you have any issues you have one company to talk to and obviously that's relevant to the warranty rep. And that's been incredibly popular with BOS and Microinverters previously. And so we expect that with storage as well. In terms of battery suppliers, they are who you would expect. I think what you're going to see though -- when I say who you would expect that's obviously Tesla, LG are the big guys and then there's integrators that use their cells on -- to make systems like Lockheed is a good partner of ours in commercial. What we'll see going forward, though is the introduction of Chinese supply of battery cells, that are integrated either by Chinese or otherwise. And I think, we'll see that meaningfully, yet this year even certainly going into next year.
Michael Weinstein: Great, thank you very much.
Tom Werner: Thanks, Michael.
Operator: Thank you. And our next question will come from the line of Brian Lee with Goldman Sachs. Your line is now open.
Brian Lee: Hey guys. Thanks for taking my questions. I just had two. First one was on the megawatts guidance. If I look at the megawatts deployed in Q1, and then the guidance for 2Q, it seems to imply that volumes are going to go flatter even down from Q2 levels. So wondering, why there isn't more growth in the back half of the year given some of the capacity expansion or maybe I'm missing something there?
Tom Werner: So when you look at our overall volume, there's a lot going on with mix. Our SPT business has a lot of volume in P-Series that comes out of our joint venture. And that can change the typical pattern that you'd expect in the company that can dominate, the overall pattern. If you looked at our SPES business, a significant growth throughout Q2 to Q4 and it's consistent with our guidance comments earlier.
Manu Sial: Yeah. So Brian, the only thing I'd add is, in the back half of the year, we have about 200 megawatts being directed from external sales to the safe harbor. So, you have to normalize the megawatts for that. So, you take the first half megawatts, take the guidance range and add 200 megawatts in. You will see a normal first half second half especially in SPES growing in the back half of the year.
Brian Lee: Okay, fair enough. Yes, maybe I'll take that offline and try to get -- sort of more granularity around the delta there. But that's helpful. Maybe second question just on the California new homes spend data. Well, I know you mentioned new homes in general. But when you say a town of 35,000 customers in the backlog, can you quantify how much of that is California? And then is that a multiyear backlog? Just wondering what sort of cadence we should expect in terms of when some of that volume -- the P&L.
Tom Werner: So, the answer to your questions are 97% California and one year. And just to reiterate we have a commanding lead in new homes with 60% here and 17 of the 20 top new homebuilders in California. So we would expect that number obviously to increase but think of it as a rolling one year.
Brian Lee: Okay. So, maybe just a quick follow-up. I know there's different estimates out there. But if I kind of take the midpoint 35,000 customers in California -- or pretty close to 35,000 given the 97% share that would imply you have about 50% of the new homes solar market in California. Is that the right read there?
Tom Werner: Yes. The answer's really close and we'll certainly check the math and make sure. But yes it's pretty close to what you said. Yes.
Brian Lee: All right. Thanks guys.
Tom Werner: Thanks Brian.
Operator: Thank you. And our next question will come from the line of Julien Dumoulin-Smith of Bank of America Merrill Lynch. Your line is now open.
Julien Dumoulin-Smith: Hey good afternoon guys.
Tom Werner: Hey.
Julien Dumoulin-Smith: Hey. Could you elaborate a little bit more on your safe harboring strategy as it depends on your technology? Just elaborate a little bit more on how you're thinking about the bucketing here and the stockpiling as it goes beyond 2019 here. And perhaps to the extent possible talk about the alternative financing arrangements that you might have or might be able to -- evaluating at this point in time.
Tom Werner: Sure. I'll take the safe harbor numbers and then let Manu comment on the financing. So, it won't be what we started the safe harboring will continue to safe harbor to 200 megawatts or more by the end of the year. It will be all IDC technology and it's a combination of our various IDC technologies mostly the mainstream technologies that we run so EX and NGT. The A-Series will be part of what we safe harbor, but it will be a small percentage. So, it'll be all IDC. And as you think of past 2019 our comments were exclusively what will safe harbor through the end of this year then there's a three and a half, I think, month provision in the code. So, the safe harboring for 2020 goes into the first quarter. Well, obviously, it goes through the first quarter of next year, so our comments include the first quarter of next year. We have not given guidance. We do have a plan for what we would safe harbor for 2020 for use in subsequent years and it's at least comparable to that. But that's -- it's a little early for us to or commit with 2020 safe harbor if that's what you're asking. In terms of financing Manu?
Manu Sial: Yes. So, just in terms of the financing process and structure, the structure will utilize minimal SunPower capital like we have said in the Analyst Day. We are currently in discussions with our financing partners who we've done several deals with over the past several years. We are targeting closing it in the second half of 2019. And we think we can utilize the same structure for safe harbor beyond 2019 as well.
Tom Werner: So Julien there's a number of counterparties that have experience with safe harbor. They are quite comfortable with us because they've done a lot of business with us and they know the technology really well. And so that's been a distinct advantage. And I think we're forward winning here because I think we can get this done in the near term in the next few months.
Julien Dumoulin-Smith: And if I could clarify just real quickly, to the extent what you're safe harboring here, as you clarify that financing, could you see a step up in your ability to safe harbor? Or is the 200 megawatts sort of ideal in your mind? And then related, as you're signing backlog for future periods here, are you seeing the same customers come back and say "I'm going to safe harbor this and I'm also whether now or later going to commit to the remaining 90% 95% of the panels"? And are you seeing a disproportion of benefit on that side of the equation to sort of give you this duration in the 20 to 23 on panel orders if you follow.
Tom Werner: So the first part?
Manu Sial: The ability to step up.
Tom Werner: Sorry. Thank you. So I -- yes we've said purposely both in our Capital Markets Day and in our comments today at least 200 megawatts. So the answer to your first part of your question is yes, there is an opportunity for more. It is early May, but we would expect that number to be at least an opportunity for more. It's a little early in the year in the second part of your question to have differentiated demand in the out years. It's starting to -- I think it's a partial yes. And because we can give precision in how much safe harbor we'll have in the opportunity because we're vertical integrated to control that and also because our product is highly unlikely to be devalued over time, certainly relative to other options. It is preferential. So we're seeing early stages of that but it's early in the year.
Julien Dumoulin-Smith: All right. Well, I'll leave it there. Thank you very much.
Tom Werner: Thanks Julien.
Operator: Thank you. And our next question will come from the line of Colin Rusch with Oppenheimer. Your line is now open.
Colin Rusch: Thanks so much guys. As you're ramping the Series A technology, what's surprising you here? And are you finding any areas for some incremental cost savings that you weren't expecting previously?
Tom Werner: So thank you for the question. The next-generation technology that is the basis of the A-Series product, what's surprising us on the positive is our costs are actually coming in better than plan. And it's obviously a huge positive. And also the other thing that I would point to is our road map for CapEx improvement per watt as we fund more lines we have more confidence in sort of classic semiconductor improvements of more throughput lower cost capital, there could be suppliers that could be used on. So we see a CapEx improvement that's at least as fast as we've said on in our Analyst Day and probably better. And of course as we go through the summer, we'll be able to give greater clarity on funding for NGT and that will influence some of what I just said.
Colin Rusch: Okay. And then just in terms of the battery solutions, how concerned are customers with security and the communication solution at this point? Is that something that's coming out in sales conversations yet? Or is this something you've already solved and put to bed? How should we think about that going forward?
Tom Werner: The answer is it hasn't been a big variable yet on -- it's a good question and one that we're preparing for. And I think this is a -- where we have an advantage because it is our own software. We're not asking someone else. So what we're doing, of course, is as we install we're learning and improving the software. And with 38-megawatt hours more to install plus 110 in pipeline, I think that we'll add features along the lines of what you suggest. But it's not been an important buying decision variable yet.
Colin Rusch: Great. Thanks so much, guys.
Tom Werner: Thanks, Colin.
Operator: Thank you. And our next question will come from the line of Pavel Molchanov with Raymond James. Your line is now open.
Pavel Molchanov: Thanks for taking the question. In the press release, you referenced the stable module ASP landscape and that's confirmed by the PV insight benchmark data as well. What do you attribute the fact that module pricing has been unusually stable since November? And how long do you think that can last?
Tom Werner: On -- so world demand is quite good. China's a big variable and there's been mixed signals in China, but we think it's mostly positive. Europe has very strong demand. And we're seeing a lot of new countries in the Far East. So when you look at the world demand there's a forward -- or things are very good. And then, of course, in America we have Safe Harbor. In Safe Harbor, we'll drive demand this -- throughout the rest of this year. And I think increasingly towards the back half of the year. There's just a lot of financial incentive to get modules this year. And, again, we benefit from being vertically integrated. We preplanned and we're already doing that. But the combination of world markets being strong with Safe Harbor, I believe that we're going to see this stable environment. If not increasing pricing environment this year.
Pavel Molchanov: Okay. And then following up on that. What percentage of residential new builds do you expect to include battery storage maybe by the end of this year?
Tom Werner: Yeah. So on -- the answer to your question is 10 going to 20 next year in -- we'd call those approximate.
Pavel Molchanov: Okay. Within your own business mix?
Tom Werner: Yes. Yeah. Unless we bring out our storage solution I think that there's upside there given some of our learning with storage -- the storage work we're doing in the C&I business.
Pavel Molchanov: Okay. Very clear. Thank you.
Tom Werner: All right. I think we're going to have one more -- or two more questions and I'll wrap up.
Operator: Okay. Our next question will come from the line of Moses Sutton with Barclays. Your line is now open.
Moses Sutton: Thanks for taking the question. Can you provide any additional detail on the commercial sale leaseback monetization for $87 million? What might be included now in adjusted EBITDA that might get impacted once this closes?
Manu Sial: Is the question on cash or EBITDA?
Moses Sutton: Either, would be fine.
Manu Sial: So, from an EBITDA perspective, the gain, it's not included in our non-GAAP numbers. It is included in our GAAP numbers from that perspective. In terms of cash, we've got high single digits in first quarter and the rest of it is going to be as part of second quarter. And therefore, as I said in my prepared remarks, ifyou pro forma the money we're getting in second quarter our first quarter cash balance would have been greater than $250 million.
Tom Werner: As you think of that structure going forward what it does and which is apparent I'm sure but I'd point it out it makes our P&L way easier to model because it's a cash-based P&L. And we expect that cash-based P&L to actually be potentially favorable with the structures that we're putting in place.
Moses Sutton: Got it. And the long-term debt increase by $30 million from fourth quarter, is it related to the commercial leaseback monetization similar to what you have with the ready lease debt? Or just anything here, is that going to be deconsolidated? Any color would be helpful.
Manu Sial: Yes. I think just from – no, it's not related to the commercial sale-leaseback portfolio that actually shows up at other line.
Moses Sutton: Got it. Thanks.
Tom Werner: Okay. Last question please.
Operator: Thank you. And our last question will come from the line of David Katter with Baird. Your line is now open.
David Katter: Hi, guys. Just a quick one for me. Can you -- just touched on it, help us walk from that pro forma cash number of $250 million to the end year of $200 million? Just provide an update from the Analyst Day there.
Manu Sial: Okay. So I think in the Analyst Day call we talked about our ending year cash balance being greater than $200 million. I think with the continued confidence in the fact that our businesses are going to generate cash in the back half of the year and the fact that some of our transactions are coming in materially better than we had anticipated. You'll see tailwinds to the number we quoted in the Analyst Day to be well north of -- greater than the $200 million mark.
David Katter: Great. Thank you guys.
Tom Werner: All right. Thank you everybody for joining our call. We much appreciate it. We look forward to our next call as our business is performing significantly better. So thank you again.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude our program and we may all disconnect. Everybody have a wonderful day.